Operator: Greetings. Welcome to the Fortitude Gold Second Quarter 2023 Conference Call. [Operator Instructions] Please note, this conference is being recorded.
 I will now turn the conference over to your host, Mr. Jason Reid, CEO of Fortitude Gold. You may begin. 
Jason Reid: Thank you. Good morning, everybody, and thank you for joining Fortitude Gold Corp's 2023 Second Quarter Conference Call. Following my brief comments and associated presentation, for those who joined online, we will have a brief question-and-answer period. Joining me on the call today for the Q&A portion will be Mr. John Labate, our Chief Financial Officer.
 Let me remind everyone that certain statements made on this call are not historical facts and are considered forward-looking statements. These statements are subject to numerous risks and uncertainties as described in our annual report on Form 10-K and other SEC filings, which could cause our actual results to differ materially from those expressed in or implied by our comments. Forward-looking statements in the earnings release that we issued yesterday, along with the comments on this call, are made only as of today, August 2, 2023, and we undertake no obligation to publicly update any of these forward-looking statements as actual events unfold. You can find a reconciliation of non-GAAP financial measures referred to in our remarks in our Form 10-K filed with the SEC for the year ended December 31, 2022.
 The second quarter was another strong one and positions us to achieve the high end of our annual production targets. We achieved $19.2 million net sales, $3.6 million net income, or $0.15 per share, $46.9 million cash balance on June 30, 2023, 9,684 gold ounces produced, 3.36 grams per tonne average gold grade mined, $91.9 million working capital at June 30, 2023, $11.2 million mine gross profit, $527 million total cash cost after by-product credits per ounce gold sold and $680 per ounce total all-in sustaining costs, $3.9 million dividends paid, which included a $0.04 special dividend.
 Exploration spending was strong at $6 million, which resulted in great drill results like those just released, which included 10.67 meters, grading 5.39 grams per tonne gold at County Line, along with geo-tech drilling for County Line mine planning and drilling for water, monitoring and water wells for both County Line and Golden Mile. An extensive mapping and surface sampling program at the north end of East Camp returned extensive and wide spread surface gold grading in grams per tonne as high as 36.6 grams, 20.2 grams, 12.9 grams and 10.6 grams gold, with multiple samples returning grades in excess of 5 grams per tonne gold.
 We are moving forward with obtaining an exploration notice of intent to initiate our first drill program on these North East campaigns after the near-term drill program at the Southern Lithocap target is complete, though we might switch that and do the North first.
 We await questions on our plan of operations submitted to the BLM for our County Line project and, are positioning to turn in our plan of operations for our Golden Mile project in the near future. We continue to drill numerous targets on our Isabella Pearl trend, looking for additional mineralization and have completed numerous mapping and sampling programs on most of all our properties, generating additional drill targets to add to our list of future drill programs. Shareholders may also find interest in our growing physical metal bullion holding as part of our treasury diversification program. We currently have silver bullion and plan to begin adding gold bullion as well. 
 To conclude, Q2 2023 was another strong quarter, and we thank you for your continued support.
 With that, I would like to thank everyone for their time today on this conference call. And operator, if you can please open up the lines for a possible Q&A. 
Operator: [Operator Instructions] 
Jason Reid: Operator, I'll take our first question from the webcast that's come in.
 James Strolling wrote, "Thanks for the great work. When do anticipate the last ore will be mined from Isabella Pearl pit? And could you give more details on the East Camp drilling on the lithocap?"
 James, thanks for the question. As far as the Isabella Pearl pit, we're not 100% sure. If you've followed us, you know that we are going to go deeper than the original pit mine plan was. And the reason we're doing that is because the mineralization continues, it transitions into a sulfide ore that we can't process, but there's this transitional ore, in which if the PH is correct enough, we can actually process it.
 So we are working with the BLM, the regulators, to mine several benches deeper than we originally planned, and we'll be doing that towards the end of this year or early next. We are also mining some ancillary mineral we're encountering in the Civit Cat, which is bordering the north side of the pit. 
 We're actually drilling and finding a few additional ounces, where I'm sure yet whether that can be pulled into the mine plan or not. I guess I don't have a specific answer on the date because a lot of this will depend on how the mining deeper goes as well as the periphery of the pit, but probably mid to end of next year is likely, we'll still be mining, but we just don't know yet. But thanks for the question on Isabella Pearl.
 As for the East Camp drilling, we have scheduled the drill to go back to the lithocap, and we're really excited about that. Obviously, that's the home run potential for us. But what's also transpired is that we have these high-grade veins to the North in a separate area on the East Camp. And past operators of this property have drilled a lot of high grade up there.
 So we spend a long time mapping, sampling. And we just announced, and I referred to those -- some of that in my comments in the conference call, we just announced some of the results. And for those who are on the webcast, I encourage you to go look at the last slide that I left it on.
 And what you'll see, if you look at the meters involved on this map, which is in the north part of the East Camp, you have over 1,000 meters of strike of this mineralization of high-grade surface samples. And if you look at some of the assays on the north end, 8.7, 3.5 real high-grade. And if you look at 1,000 meters to the south 5.6, 12.9, 2.6, 4.9. 
 So over -- and then a bunch of surface samples, I got surface samples in between. So 1,000 meters from north to south. And from east and west, it's over 500 meters. And if we look at on the west, 36 meters -- 36 grams. That's over an ounce gold at surface. And if we look 500 meters to the east, it's 20 grams gold.
 So the historical drilling in and of itself is very exciting. We're going to follow up on that. But for us to go do this massive mapping and sampling program, really highlights that this is a very big powerful system. This system is the same system likely that fed both this mineralization as well as the mineralization we found in the lithocap.
 So what's transpired very recently, in fact, as early as just -- our weekly Isabella Pearl and Golden Mile calls, we actually might bump in North drilling in front of the lithocap and -- for numerous reasons, but we're really excited to drill this north. And it might give us time to where -- if we drill this first, we go then to take the drill straight over to lithocap. Maybe we'll get some of these drill results back to where we could come back over here in a perfect world and drill it again.
 So we'll see, but this is very exciting. And I look at this and go, "Okay, wait a minute. 1,000 meters by over 500 meters with this kind of grade, yes, there could be something here."
 So hopefully, that answers your question that we are going to be drilling the lithocap, it actually might get pushed to the second program, if you will, behind the North Veins because I believe we just -- we expect to get our notice of intent from the regulators to drill that perhaps this week or early next, which puts us in a position to get the drill there first. But thanks, James, for the question.
 We have several other questions that have come in. Next one, Mark Smith.
 Jason, what is the one or two things that are your biggest challenge right now?
 Mark, thanks for the question. And the biggest challenge we have is the Biden administration. So if you're an investor in Fortitude Gold, think about that, because it makes a difference on who you support in relation to who is mining-friendly and who is anti-mining. And the Biden administration is absolutely anti-mining.
 Many of you probably noticed in our queue, the Biden administration is the first risk factor. So that is undoubtedly our biggest challenge. I won't go into all the reasons why, but yes, he's not a mining-friendly administration.
 Second challenge right now, I think, is probably just the overall market. We have a lot of inbound shareholder calls who were saying, "Why aren't your share price higher, right?" And that's typical as a public company. But when you look at our performance versus, for instance, our peers, year to date, January to to-date, were up 14%, where gold and in the GDXJ are up maybe 5% or 7%.
 We are exceeding our peers, yet there's a frustration with our shareholders as to why isn't your share price higher? There's only so much you can do to bucket trends. We're bucking the trends. We're doing better than our peers. But still, I think that's probably the biggest challenge, but that's part and parcel of being a public company.
 So yes, those are probably the two biggest challenges. But I want to reiterate the Biden administration is not a friendly administration to mining.
 Okay. The second -- there's another e-mail from H.R. Goss Capital. Are there mills that could handle sulfides from Isabella Pearl? Do they have capacity? How far away?
 There are. There's actually a small outfit that's trying to open up and get some sulfides as well. That's a tall order to ask, but we're primarily focused on oxides. So we're, obviously, keeping an eye on the sulfide. And if it made sense to move forward with some different business plan, we would consider that. But from my perspective, we just need to remain focused on County Line, on Golden Mile, on expanding Isabella Pearl trend with additional potential oxides. And now with East Camp, I expect some really exciting drilling coming from there.
 Two, early indications with bottle roll cyanide tests that might be amicable to cyanide leaching as well. We'll do additional column tests early on. But point being, I appreciate your question, but we're going to stay focused for the time being on oxides.
 The next question, Stephen or Stefan Banker with Newmark. Do higher interest rates cause you to think differently about capital spend?
 No, because we don't borrow money. We have no debt. I don't expect to have any debt. So maybe it makes us think differently on if you were to finance a small piece of some equipment or whatnot, but I think we've actually paid off all our equipment, most all of it.
 So no, but the overall economy makes us pause. And for those who followed us a while, we bought all the equipment we could buy to build Golden Mile, and I'm glad we did, because the inflation is just rampant. And the vendors wouldn't hold a price for more than 2 weeks. Well, how do you plan to build a mine when you can't nail down a cost. So that has been a tremendous challenge for us.
 So we went and just bought all the equipment with cash. We spent, I don't know. John can correct me if I'm wrong, but probably at least $11 million, maybe $12 million on Golden Mile already. So not so much an interest rate-focused question, but more just an economy and inflationary focus.
 So operator, are there any call-in questions? 
Operator: Yes. Your first question from the phone line is coming from John Bair at Ascend Wealth Advisors. 
John Bair: You just touched on CapEx. You've spent pretty much. You bought all the equipment. That was one of my questions is, assuming you get these permits done for Golden Mile and County Line and move forward on that and actually put it into operations, how much more equipment you might need to purchase? But it sounds like you've pretty much got it covered. Is that right? 
Jason Reid: For Golden Mile, yes, we bought -- I don't know what percentage, but I have to think it's over 90%. I mean we even bought the liner for the heap. So for Golden Mile, yes, we purchased everything we could.
 For County Line, there's not a lot to buy because we're not putting a process there. We're going to leverage our existing infrastructure, Isabella Pearl's process. So we're effectively going to be approaching County Line as a mining in aggregate, just mining rock, crushing it, putting in trucks and rolling it down the road.
 So there will be a decision to be made as whether we buy another crusher, use one we have, rent one, what have you, but capital won't be huge for that in any form or fashion because we're not building a process.
 So yes, we're doing what we can to get out in front of inflation because every day you wait, things just seem to go up in costs. 
John Bair: Right. Okay. And then I know -- how many active rigs -- drill rigs do you have going on right now? And I know you... 
Jason Reid: We have at least two. We've had three for a bit. It can be great to keep three all the time. We try to -- in an ideal world, we'd have three, possibly four. 
John Bair: Okay. 
Jason Reid: So -- yes, but we have two right now. And -- yes, we're really excited. And that we're finishing up the drill program on the trend of Isabella Pearl. And then we're going to move that drill up to East Camp.
 And since the NOI we've been told is going to drop in any day, we're going to take it to the north veins. And I want to -- for anybody who's like, why are you focused on the north veins? You've been focused on the lithocap. We're excited about both of them.
 The lithocap is such a big target. It's going to take a long time to explore, and we're going to continue to do that. But the north veins have been drilled in the past. And then we've gone in and done this mapping. We understand it a lot better. That's going to be some exciting stuff. So really excited about that drill program. If we can secure three -- again, we go back to three. We have the money. So -- but that's where we are right now. We have at least two. 
John Bair: Are you seeing any -- with the challenges, are you seeing any easing up on rig availability, drill availability? 
Jason Reid: Yes. 
John Bair: And -- so that should hopefully go in your favor? 
Jason Reid: It kind of... 
John Bair: It is secure. A couple of extra drills if you choose to alleviate? 
Jason Reid: Yes. 
John Bair: That's great. 
Jason Reid: It's definitely alleviated from what it was in the past. And we can -- the crews -- for a while there, you could get the drill rigs, we couldn't get the crews, but I'm lumping them both together that situation is easing a bit. So that's good.
 But now, we're hitting the drill program hard, and that's what we want to be doing. And that puts us in a position to get lucky with what it takes in this business, right? 
John Bair: Sure. Sure. 
Jason Reid: And anybody that tells you otherwise be skeptical, but deploying 6 million is exciting to me, and that's where it's at. And you've seen some of the fruits of that with these recent drill results. And again, I'm very excited about all our drill programs, but it's going to be fun to go drill our maiden north veins. 
John Bair: Yes. East Camp will be interesting. So my last question is sitting on a nice pile of cash, how is that deployed? In other words, what type of instruments? Is it spread around given the issues earlier this year with various banks and so forth? How are you positioned in that regard? 
Jason Reid: No, it's a great question. That's something that we focus on. Greg and John have done a really good job in leveraging our cash, and we're seeing $300,000 to $400,000 worth of interest sometimes a quarter, which is nice. And -- so we've moved cash to around three different banks. And yes, we're just diversifying risk, so to speak, in case... 
John Bair: So are they in short-term treasuries? Is that -- are you able to kind of say how we're doing -- how are you doing that? 
Jason Reid: Yes. 
John Bair: Okay. 
Jason Reid: Yes, they are. And they bear an interest, but enough to make a difference. And you're seeing that. You've seen it last quarter. You've seen it this quarter. It's nice to have not only diversification, but also see a material amount coming in for interest.
 And in the end of the day, be protected because if the bank actually folded, you'd still hold something. Whereas if it was just cash and the bank folded, you could potentially lose that. So for all those reasons.
 And then you've also seen us start the diversification process with the physical blend. This is just the beginning. We did this with the past company. I want to do it here. And we like that diversification, basically putting our money where our mouth is, to hold physical. And then if you need to build something, you can sell that and use it, but you also have some additional diversification.
 And then in an event where the economy shakes and gold -- everything tanks but gold, you've hedged a bit, so to speak, and that you protected yourself by holding some physical. So for all those reasons, we're watching carefully because I'm not of the opinion that the economy is as healthy as this administration would lead one to believe. Nothing has been fixed. No debts should been strong. Problems are blowing up. And yes, the world could shake. So I think it's good to have some diversification in various banks as well as physical gold. 
Operator: Your next question is coming from Paul Kubala, a private investor. 
Unknown Attendee: And outstanding leadership on your behalf, I really like what I see. I want to focus on your cash position. And I'd like to ask you the question, how much cash would you consider to be enough to hold?
 And what's your goal? Is it $50 million? $75 million? Your comfort zone going forward in the transition of where we're mining at now and where we're going to next. What would you foresee as a good number to hold as far as cash? 
Jason Reid: No, it's a great question, Paul. We don't have a hard and fast number because there's a lot of variability, if you will, on future production, so to speak. So we are going to -- we're in an exciting time where we're going to be building two mines.
 And so we get a lot of questions of shareholders who aren't familiar with the mining space and like, "Wait a minute, you have 46 million and you want to pay dividends? You could pay a lot more." Yes, we can pay a lot more dividends, but we're choosing a conservative route not to.
 Because of the inflationary situation that I referred to earlier in my remarks, we're going to be building two mines. I'm sure we've done everything we can, I believe, to purchase the equipment at Golden Mile and we have some to buy at County Line. We still want to have a large war chest to build these mines, especially right now. Anybody in the construction industry, what have you, understand how difficult it is to build anything right now.
 So -- and so that variability -- what is the environment going to be when you're actually building it? Is inflation going to be worse? Probably. So for all these reasons, we want to have a large cash position, and we are very comfortable with 46 million. We'd be comfortable with that dropped a bit and we allocate more to exploration, which may happen.
 But that's the kind of order of magnitude that we can build these mines, with cash, without diluting shareholders. And so those are the things we look at. We'd like to add to this cash position. Don't get me wrong. And to some extent, we expect to do so. But we're sitting in a really strong position, having deployed a lot of our cash to a future build to Golden Mile, having a lot of cash in our treasury. Yes. So I don't have like a hard and fast number, I can say this amount, but we're feeling very comfortable right now. And yes, we're making money every day. So that -- we're going to be in a strong position. 
Unknown Attendee: I have one more question for you. I think it's a great strategy. When you went with a special dividend last quarter, are you going to proceed forward with that approach? I got cut off earlier. I didn't hear if somebody asked that already. 
Jason Reid: No, nobody has asked that yet, Paul. But we're putting our money where our mouth is by giving the special dividend. We -- there's so many moving parts that I don't want to nail us down to a ratio or a metric or anything. I used to do that with the past company, and there's too many moving parts and they can bite you.
 So what we say is we like to return as much cash back to shareholders as soon as possible, while balancing the needs of the operation, growth exploration, paying taxes. So I think we're doing all of that. You can't please everybody. Most people called and loved the special dividend. There were some that didn't.
 They said, "No, you should deploy the capital elsewhere." So everybody sits on the different side of the fence on the dividend. Some most, again, love that special dividend. Is it possible we'll do another special dividend? Absolutely, it's possible. But we have two mines to build. I do not want people to forget that. So that takes precedent over a special dividend.
 We want to continue our instituted dividend, but I'm sure that's possible. We did it once, we could do it again. We clearly have the cash position to do it if we chose to, but we also are just making sure we're positioning ourselves to build two mines in the very near future. So we want to make sure that we have the cash to do that. I don't want to take us down to too tight of a cash position where it's concerning. So yes.
 Hopefully, that answers your question. It's absolutely possible. We've done it now. We've proven to the market, we can do it. And at some point in the future, we'll do it again. But I can't give you timing on that or -- again, I want to put that in the context of we're building two mines. It takes a lot of effort. It takes a lot of money. And yes, that needs to be the focus.
 And the instituted dividend is pretty nice. We were exceeding our peers. And well, most of our peers don't pay a dividend, but we're exceeding even the majors in dividend for the gold space. So I think we're doing well. 
Unknown Attendee: Keep up with good work and a special thanks to the whole team. 
Jason Reid: Operator, before -- there may be a couple of other phone calling questions, but I have a couple of questions that will come in.
 Okay. Chris Miller. Was a decrease in the treasury, primarily due to exploration spending? And what contributed to the $100 increase in AISC?
 Chris, thanks for the question. Yes, I want to put that question in the context of it's difficult to focus on one quarter or another quarter because there's so much going on. But the long and short of the all-in sustaining is we had lower sales volumes.
 We had an exploration spend that was outsized, $6 million. We also replaced some equipment, front-end loader, for instance. So all those things came in to pass to push the $100 increase. Having said that, our AISC number is great.
 So yes, again, just I caution anybody to not just focus on a specific quarter and say, "Okay, well, that's exactly what's going to happen going forward, et cetera." Because there's too many variables, and I just mentioned these three big ones. So hopefully, that answers your question.
 Is the decrease in treasury primarily due to exploration spending? Yes. We had $6 million in exploration spend. So that was it. Thanks, Chris.
 There's another one from Greg Nelson. What are the current estimates of silver in the existing leach pad?
 Good question, Greg. I don't know. Off the top of my head. We're focused on the gold. We don't -- this metallurgy did not allow us to extract all the silver. So we don't -- we even use it as a byproduct credit. So we really focus on that. But yes, there's a lot of silver on that pad.
 Now in the future, it's possible we could hit that really hard [indiscernible] and pull a lot of that off. But for the time being, yes, we don't focus on silver. We focused on gold. But good question. I don't have an answer for you on that. Great question. It's going to make me look into that.
 Okay. The next one, Gary Hayes. Do you have a rough time line for turnable Golden Mile and County Line once approvals are given?
 Another good question, Gary. As I think most know on this call, pushing really hard on Golden Mile, and then we had some great County Line results, and County Line is a situation where you heard me say on this call where we're not going to be building a lot there.
 So when you're mining it is an aggregate, the permitting process should be vastly shorter because you don't have a process to look at for them to review. You don't have a heap leach. You don't have an ADR. You don't have all these parts that take a long time with the permitting. So that stepped in front of Golden Mile.
 I can't give you a hard and fast time line because these are the regulators. Coming back to my earlier comments on the Biden administration, he won't staff the federal side, the BLM side adequately. So they are way understaffed, and he loves that.
 And so that creates a big challenge for us because when we hear from the BLM that they just don't -- they can't get the stuff in a timely manner, and it's nothing against the people, they're great people, but they just -- this administration won't staff that regulatory body adequately.
 So I can't give you a time line on it, but we're optimistic that County Line will -- permitting will go through quicker than any permitting because that's effectively like an aggregate, which buys us some more time on Golden Mile. 
 As far as Golden Mile, we are finalizing the plan of operations. My team just reviewed the final iteration this week, even. We were talking about it earlier this week on a weekly call, and that should be submitted here shortly. And so we'll get that in the queue as well.
 So coming back to your question, [indiscernible] what time line for turnup? And I assume you mean ramp-up or production. We're -- at County Line, it should be pretty quick because we don't have a -- there'll be several months, 3, 6 months max of overburden before we get into the bulk of the gold. Having said that, there's gold -- high-grade gold in the bottom of the pit accounting line. We just had a bunch of channel samples in there to help business identify blocks of the order take. So we'll be putting ore from the go.
 But we do have some waste removal at County Line before we get into the bulk of it. So it's just a balance. But again, when we're not having to build a process there, or we're mining, crushing, trucking it down the road, putting it to an existing process, it should be as fast as anybody could build a mine. We'll be building that mine as fast as it can be done, I believe.
 And then Golden Mile, we're not building an ADR there. We're taking gold to carbon and trucking the carbon to our current ADR plant. So that should also help the permit timing. So there's always some overburden removal, et cetera, to build. Golden Mile will be a little more extensive, but there's gold right at the surface there, too. So that helps generate some cash.
 Hopefully, that generally answers your question, Gary. Thanks for the question.
 Another question from Terry Rose. What is the estimated time frame for obtaining permits, accounting, et cetera? I think I kind of answered that in the last one. I don't -- I can't give a hard and fast time line. We're -- with County Line, we expect questions back from them any day.
 And we'd like to get through the BLM so that then it gets kicked over to the NDEP, Nevada Department of Environmental Protection, goes through the EA process. The Nevada Department of Environmental Protection, very pro-mining. Good guys to work with. I don't see any issue there. And yes, we're optimistic we'll get these permits in a timely fashion as the builds happen that you can overlay them, still be producing for Isabella Pearl as County Line comes on and same with Golden Mile. So hopefully, it does answer the question.
 Operator, are there any additional questions for the call in? 
Operator: There are no further questions from the phone lines. 
Jason Reid: Okay. Perfect. There's a couple more here. I'll try to get to everybody. Couple more write-ins. Okay, Dr. [indiscernible]. Do you already have enough to build the two mines? 
 Yes, we're moving forward to build these mines. We have the first year plus on each identified and moving forward. We don't have the luxury nor the desire to wait around and take the normal course of the mining company that takes 5 to 10 years to do something. We're moving stuff forward much quicker than the norm in this industry. 
 So yes, we have -- in my mind, these are both green light where we're going. So obviously, we have some hurdles. We have to get the permits or the big ones. But yes. Thank you for the question.
 The next one is from Joe [indiscernible]. What will trucking costs add per tonne to gold cost at County Line? 
 Yes, the trucking is one of our biggest costs, and we're looking at ways to lower that, whether we become truckers or we -- preferred method have the local trucker increase its fleet, and we're helping him. I don't -- we will if we have to, but I don't want to become a trucking company.
 So these are things we're working on right now, Joe. And yes, that's one of the bigger costs. So we're really trying to fine tune that for County line. But having said that, we also don't have any CapEx materially speaking, when compared to building a project from scratch. When you're mining is in aggregate, you're basically just crushing it. You don't have -- there's trade-offs. And yes, that's what we're working on. 
 I'm not going to give you a specific because we're trying to get that cost as low as possible. But yes, that's a good question. That's one of our biggest costs.
 Okay. And then, Greg Nelson, another question. This would be the last one. I think we've gone pretty long here today. So if I don't get to your question, call Greg or myself. We'll follow up with you.
 Estimated on gold ounces in the leach pad? Yes, there's well over 40,000 ounces, probably pushing to 50, if I had to estimate on leach pad right now.
 So with that, let me conclude the call. If I didn't get to your question, I apologize. Again, call Greg or myself. But I think -- first of all, thank you for all the questions. They were all really good questions. And thank you all for your continued support. And yes, we look forward to talking to you next quarter. Thank you very much. 
Operator: This concludes today's conference, and you may disconnect your lines at this time. Thank you for your participation.